Operator: Good afternoon. Thank you for attending the GoPro Second Quarter 2025 Earnings Call. My name is Cameron, and I'll be your moderator for today. [Operator Instructions] And I would now like to pass the conference over to your host, Robin Stoecker, Director of Corporate Communications. You may proceed.
Robin Stoecker: Thank you, Cameron. Good afternoon, and welcome to GoPro's Second Quarter 2025 Earnings Conference Call. With me today are GoPro's CEO, Nicholas Woodman; and CFO and COO, Brian McGee. Today's agenda will include brief commentary from Nick and Brian, followed by Q&A. For detailed information about our second quarter as well as outlook, please read our Q2 earnings press release and management commentary we posted to the Investor Relations section of GoPro's website. Before I pass the call to Nick, I'd like to remind everybody that our remarks today may include forward-looking statements. Forward-looking statements and all other statements that are not historical facts are not guarantees of future performance and are subject to a number of risks and uncertainties, which may cause actual results to differ materially. Additionally, any forward-looking statements made today are based on assumptions as of today. This means that results could change at any time, and we do not undertake any obligation to update these statements as a result of new information or future events. To better understand the risks and uncertainties that could cause actual results to differ from our commentary, we refer you to our most recent annual report on Form 10-K for the year ended December 31, 2024, which is on file with the Securities and Exchange Commission and other reports that we may file from time to time with the SEC. Today, we may discuss gross margin, operating expense, net profit and loss, adjusted EBITDA as well as basic and diluted net profit and loss per share in accordance with GAAP and on a non-GAAP basis. A reconciliation of GAAP to non-GAAP operating expenses can be found in the press release that was issued this afternoon, which is posted on the Investor Relations section of our website. Unless otherwise noted, all income statement-related numbers that are discussed in the management commentary and remarks made today other than revenue are non-GAAP. Now I'll turn the call over to GoPro's Founder and CEO, Nicholas Woodman.
Nicholas D. Woodman: Thanks, Robin, and thanks, everybody, for joining us today. As Robin mentioned, Brian and I will share brief remarks before going into Q&A, and I want to encourage all on the call to read the detailed management commentary we posted on our Investor Relations website. In Q2, we reached the high end of our revenue guidance, delivered compelling new hardware and software products and are on track to launch exciting new products in the second half of the year. Our ongoing focus on efficiency drove operating expenses down 32% year-over-year, achieving our highest gross margin since Q3 2022. In addition, we refreshed our Board of Directors and executed a capital raise. GoPro continues to hit its marks. Last week, we announced that GoPro raised $50 million in debt financing to bolster our balance sheet as we prepare to repay approximately $94 million in convertible debt due this November. Our priorities for the balance of 2025 and into 2026 continue to be managing operating expenses, protecting our IP and launching new products, which we believe will return GoPro to both unit and revenue growth and improved profitability starting in the fourth quarter of this year. Turning to product highlights. During the second quarter, we launched HERO13 Black Ultra Wide Edition, a special edition of our flagship HERO13 Black camera bundled inbox with our ultra-wide lens mod pre-installed on the camera, making it simple to capture low distortion, incredibly wide-angle 177-degree perspectives that make you feel like you're fully immersed in the moment. We also introduced a limited-edition Forest Green colorway of HERO13 Black, oering a bold, nature-inspired aesthetic designed to appeal to outdoor enthusiasts. On the software front, we added new easy and powerful 360 editing tools to the GoPro App, including MotionFrame and POV. MotionFrame makes it simple to reframe your 360 content into easy-to-share clips by using your phone to look around and reframe what part of your 360 video or photo you want to share. And POV is a fast and simple way to create immersive see what I saw POV videos from your 360 content. These new tools add to the growing 360 editing experience in the GoPro App and lay the groundwork for the upcoming launch of our Max 2 360 camera. Our software ecosystem continues to create value for our users, particularly for our subscribers. Our subscription attach rate from cameras sold across all channels was 56% compared to 45% in Q2 2024, a 24% improvement. Aggregate retention has been above 67% for the past 7 quarters. We believe ongoing software enhancements, coupled with increased camera sales from the launch of new products later this year and in 2026, will resume subscriber growth in 2026. And on July 30, 2025, we announced a new opt-in program that enables U.S. subscribers to monetize their GoPro cloud-based video content by making it available to help train AI models. GoPro subscribers can opt in to make their user-generated content available for GoPro to license to leading technology companies seeking diverse real-world footage to enhance the performance and accuracy of their AI models. GoPro subscribers will earn 50% of the license revenue that GoPro expects to generate on their behalf. The GoPro subscriber community's vast data lake contains more than 450 petabytes of cloud-based high-quality video content, which translates into more than 13 million hours of video. This vast trove of video content represents a valuable opportunity for AI developers to train their models with a rich and varied data set across a wide range of experiences and environments. We are excited to participate in the demand for authentic real-world video to train AI models while growing a new diversified revenue stream for GoPro. Industry analysts expect the AI data licensing market for photo and video content to reach $1.3 billion in 2025 with a projected 20% CAGR. And now an update on our IP projection efforts. On July 10, 2025, the United States Administrative Law Judge, ALJ with the International Trade Commission, or ITC, issued an initial determination that one of our China-based competitors, Insta360, violated federal law by importing and selling products that infringe a patent covering GoPro's iconic HERO camera design in the United States. We are pleased with the ALJ's recommendation that the commission issue both a cease and desist order against further infringing acts and an inclusion order barring further importation of Insta360's infringing products. We are also pleased with the initial determinations validation of multiple patent claims covering GoPro's industry-leading HyperSmooth video stabilization. The case is ongoing. And the next phase is a review by the commission where we believe we have the opportunity to gain further rulings in GoPro's favor. The commission is expected to issue its final determination on all of GoPro's infringement claims on or before November 10, 2025, and any resulting exclusion orders would go into effect in January 2026, subject to presidential review. And in Q2, we refreshed our Board of Directors with the addition of 3 seasoned executives. Mick Lopez brings decades of strategic and financial governance expertise from leadership roles at Vista Outdoors, L3Harris, IBM and Cisco Systems. Emily Culp is the Chief Brand and Strategy Officer of BodyHealth and adds value expertise in omnichannel marketing and consumer brand strategy, and Mike Dennison is CEO of FOX Factory Holding Corp, and brings a deep understanding of global manufacturing and product innovation to GoPro's Board. We believe their diverse industry experience and insights will be instrumental to GoPro's efforts to grow our TAM, revenue and profitability going forward. We believe GoPro is poised to return to revenue growth and deliver meaningful adjusted EBITDA in the second half of 2025 and into 2026, while expanding our TAM by participating in key growth categories. GoPro remains the U.S. market leader in the estimated global 3 million unit action camera category. New growth areas include the 360 camera segment, which we estimate to be nearly 2 million units annually. We're excited to regain share in this 360 market with the launch of our Max 2 360 camera later this year. Additionally, the low light capable camera segment estimated at $2 million to $2.5 million units annually represents a significant opportunity for GoPro as we do not currently participate in that market. And GoPro's tech-enabled motorcycle helmet development in partnership with AGV remains on track. We expect to bring meaningful innovation, improved safety and performance to the world of motorcycling, which we believe represents a meaningful business opportunity for GoPro with a SAM of approximately $3 billion. To summarize, we are excited to launch an expanded diversified suite of hardware and software products in the second half of 2025 and throughout 2026, which we believe will enable GoPro to grow into markets that we're not participating in today. We expect to resume revenue growth in the fourth quarter and expect second half adjusted EBITDA to be approximately $20 million compared to a prior year period loss of $9 million, a nearly $30 million improvement. GoPro's teams are focused and highly motivated to realize the exciting opportunities that lie ahead. Now I'll turn the call over to Brian McGee.
Brian T. McGee: Thanks, Nick. In the second quarter, revenue was $153 million or 6% higher than the midpoint of our guidance of $145 million. Gross margin improved to 36% compared to 30.7% in Q2 2024. Non-GAAP operating expenses were $63 million, a 32% reduction year- over-year. Adjusted EBITDA improved 83% or $28 million year-over-year to negative $6 million in Q2 2025 and non-GAAP EPS net loss per share improved from negative $0.24 in Q2 2024 to negative $0.08 in Q2 2025. We continue to have a strong focus on operating expense controls while retaining investments in our product road map. Notable second quarter performance highlights. Revenue from our retail channel was $111 million or 73% of Q2 2025 revenue compared to 74% in the second quarter of 2024. Revenue from our GoPro.com channel, which includes subscription and service revenue was $41 million or 27% of Q2 2025 revenue compared to 26% of the second quarter of 2024. Subscription and service revenue was flat year-over-year at $26 million. Subscription attach rate from cameras sold across all channels was 56% compared to 45% in Q2 2024, a 24% improvement. Q2 2025 ASP was $374, a 16% improvement year-over-year. Gross margin was 36% compared to 30.7% in the prior year quarter. The margin improvement of over 500 basis points was primarily due to less price discounting activity and an increase in subscription and service revenue as a percentage of total revenue, partially offset by tariff costs. Non-GAAP operating expenses were $63 million compared to $93 million in the prior year period, a 32% decrease year-over-year. The year-over-year decrease was primarily driven by a decrease in advertising and marketing-related activities, restructuring actions resulting in reduced employee-related costs and the completion of our newest system on-chip GP3. GAAP and non-GAAP loss per share was $0.10 and $0.08, respectively. Adjusted EBITDA was negative $6 million compared to a negative $33 million in the prior year period. Cash flow from operations was $9 million, an improvement of $8 million year-over- year compared to cash provided by operations of $1 million in the second quarter of 2024. We ended the quarter with inventory of $84 million, a 12% decrease sequentially and a 30% decrease since Q4 2024. Sell-through was approximately 500,000 units compared to 600,000 units in the prior year period. Channel inventory decreased sequentially by approximately 60,000 units, in line with guidance. Our outlook is prefaced by highlighting uncertainty that exists due to volatility and tariff rates, consumer confidence, competition and global economic uncertainty. For the second half, we expect revenue of approximately $390 million, plus or minus $20 million, non-GAAP net income per share of $0.04 positive, plus or minus $0.04 and adjusted EBITDA of positive $20 million compared to a prior year loss of $9 million, a nearly $30 million improvement. We anticipate adjusted EBITDA in Q3 to be breakeven. In addition, we expect to resume revenue growth in the fourth quarter of 2025. All of these expected improvements are due to the actions we took in 2024 to launch new products in the second half of '25, reduce operating expenses, diversify our supply chain and drive product cost reductions, which are partially offset by higher tariffs. Additionally, we are focused on further operational efficiencies to drive down costs and expand our supply chain outside of China. We expect the impact on tariffs on our cameras and accessories in 2025 to be approximately $18 million, up from $8 million in tariff rates due to the increase from 10% to 20%. We expect to offset approximately 50% of the full tariff impact by modest product price moves we have already made of less than 5% globally. We continue to actively manage the balance sheet and expect to further reduce inventory sequentially in Q3 2025 by $10 million to approximately $75 million. For the third quarter of 2025, we expect to deliver revenue of $160 million, plus or minus $10 million, down 38% year-over-year. We estimate Street ASP in the third quarter to be approximately $370, up nearly 26% year-over-year. We expect unit sell-through to be down 25% year-over-year to approximately 500,000 units and channel inventory to be flat sequentially. We expect gross margin in the third quarter to be 35.5% at the midpoint of guidance, flat versus the prior year quarter. We expect third quarter 2025 operating expenses to be $60 million, plus or minus $1 million, a 34% reduction from the prior year quarter due to lower spending on wages from lower headcount, reduced marketing and lower nonrecurring engineering expenses related to the completion of GP3. Non-GAAP tax expense by quarter in 2025 is expected to be $1.5 million in the third quarter and a credit of $1.2 million in the fourth quarter. Non-GAAP tax expense is expected to be $2.9 million for 2025. Cash tax is expected to be between $0.5 million and $1 million in 2025. We expect non-GAAP loss per share for the third quarter of $0.04 at the midpoint of guidance and expect shares outstanding to be approximately 159 million in Q3 and 171 million in Q4. To provide additional color on our expectations for the priorities of the balance of 2025, we expect to introduce 2 new cameras, including our Max 2 360 camera. We expect full year 2025 operating expenses to remain in the range of $240 million to $250 million, down more than $100 million or 30% year-over-year. We expect to offset approximately half of our expected tariff costs with modest price increases and continued supply chain diversification outside of China, while also exploring the production of certain products in the United States. We expect subscription ARPU and subscription cost improvements and end the year with 2.4 million subscribers. We expect our liquidity position to be more than adequate going into 2026 as we expect to end 2025 with approximately $80 million in cash, along with an additional $50 million available under our ABL facility. Our liquidity position ending 2025 reflects the repayment of approximately $94 million in convertible debt that we fully paid off in November '25 from our escrow account. The initiatives we took -- undertook in 2024 to reduce operating expenses and improve gross margins are bearing fruit. We are focused on launching new products in 2025 and 2026 to restore growth and profitability for our business beginning in Q4 2025 and into 2026. With that, operator, we are now ready to take questions.
Operator: [Operator Instructions] And the first question is from the line of Erik Woodring with Morgan Stanley.
Erik William Richard Woodring: I have 2, if I may. Maybe just first one to start, Nick. I'd love if we could maybe just take a step back and kind of help us better understand between all the kind of headwinds that you discussed amongst tariffs and uncertainty and competition and whatnot. Can you just maybe help us understand where you believe kind of consumer spending intentions, especially on more discretionary products is kind of tracking? Is it improving? Is it worsening? Is it kind of running in place? And how does that differ by region? What I'm really just trying to get an understanding of is kind of the backdrop that you guys are currently selling into, realizing that there are other challenges like not having a 360 camera on market today, but just isolating the market? And then I have a follow-up, please.
Nicholas D. Woodman: Yes. Consumers are definitely becoming choosier about where they're spending their money. And fortunately, that aligns with our product ethos, which is build solutions, not things. And so for a lot of our customer base, a GoPro is an important tool, whether they're a professional or aspiring content creator or they're an adventurer or an athlete who uses a GoPro for training or more towards the lighter duty use side of things on the family front, GoPro's importance as a life capture and sharing solution. So we're seeing pretty stable demand, which is good. Tariffs are definitely taking a bite out of gross margin. But as Brian noted, we're managing that pretty well with just modest price increases, and we feel pretty good about maintaining demand going forward, but it certainly is an area of uncertainty. And then as it relates to upcoming product launches, we are optimistic about where our products are going to land competitively and the unit growth and profitability that they'll drive and even more so as we go into 2026, and we continue to build on that product launch momentum, we're feeling really good about the products that we've got slated for the rest of not only 2025, but 2026 as well, where we think we're going to be really hitting the mark with what consumers are looking for from the casual consumer who may be more pinched economically speaking, but definitely landing a bull's eye, we think, with the more premium and pro-minded consumer that's going to be very excited, we believe, about the products that we have on tap for them. So it's a mixed bag, Erik. But overall, we're feeling pretty good about how GoPro is positioned going forward.
Brian T. McGee: Erik, I'd add on that, that our sell-through for the quarter is actually trending to what our projections are. So Nick might have alluded to that, but the demand side of the business is tracking for the quarter.
Erik William Richard Woodring: Okay. Okay. That's super helpful, guys. And then my follow-up, I wanted to ask about the Max camera market, the 360 market. The last Max camera you guys launched was 2019. I realize, obviously, you can't really find one today because you're coming out with the Max 2. If we look back over, whatever, call it, the last 5 years, what was GoPro's share in that 360 market? And how has this market changed in the last few years, whether that's technology or price points or more competition or less competition? I'd just love to know each of those.
Brian T. McGee: Yes. Erik, when we launched Max back -- I think, '19-ish, obviously, we had the bulk of the share and the bulk, meaning 80%, 90% arguably of that market. And we didn't refresh it. We're late in refreshing. And in that time period, we've had competition actually come into that market. And Max eroded over time. As you know, we launched it a little bit. I think we even took 10% share back in the North American market by relaunching it. So that was good. But the Max 2 refresh is an important milestone for the company to get us back into the market. And we've seen that market grow from a few hundred thousand units a year to 1.5 million, 2 million units now estimated. So there's definitely a large opportunity for the company to participate in a very fast-growing market with the refresh of our product.
Nicholas D. Woodman: Erik, I would just add to recount what we mentioned in our prepared remarks is that there are other growth areas as well that we're going to be targeting that we're very excited about markets we don't participate in today. One of them is the more premium low- light camera category, which is estimated now to be more than 2 million units. And GoPro's brand and technology is primed for us to participate in that market in a meaningful way. That's another very exciting growth opportunity that we're looking forward in the nearer term.
Operator: And that was our last question. I would now like to pass the conference back over to management for any closing remarks.
Nicholas D. Woodman: Thank you, operator, and thank you, everyone, for joining today's call. To summarize, we're excited for the second half of 2025 and into 2026 as we intend to bolster our position in existing markets and enter new markets with the launch of new products, which we believe will combine to enable GoPro to resume revenue and profit growth beginning in Q4 of 2025. We look forward to addressing investors during our fireside chat at the Oppenheimer Investor Conference tomorrow at 2:05 p.m. Eastern Time, which will be webcast and available on our Investor Relations website. Thank you very much, everyone. This is team GoPro signing off.
Operator: That concludes today's call. Thank you for your participation, and enjoy the rest of your day.